Operator: Thank you for standing by. My name is Eric, and I will be your conference operator today. At this time, I would like to welcome everyone to the PublicSquare Second Quarter 2025 Earnings Conference Call. [Operator Instructions] I would now like to turn the call over to Will Kent, Senior Vice President of Corporate Affairs. Please go ahead.
William Kent: Good afternoon, everyone, and welcome to PublicSquare's Second Quarter 2025 Earnings Conference Call. Joining me today are Michael Seifert, Chairman and Chief Executive Officer; James Rinn, Chief Financial Officer; and Dusty Wonderlich, Chief Strategy Officer. Before we get started, we want to emphasize that information discussed on this call, including our outlook, is based on information as of today and contains forward-looking statements that involve risks, uncertainties and assumptions. We undertake no duty or obligation to update such statements as a result of new information or future events. Please refer to today's earnings press release and our SEC filings, including our 2024 10-K for factors that may cause actual results to differ materially from our forward-looking statements. We'd also like to point out that we present non-GAAP measures in addition to and not as a substitute for financial measures calculated in accordance with GAAP. I'll now hand the call over to Michael. Michael, please go ahead.
Michael Seifert: Thank you, Will, and welcome, everyone, to our second quarter 2025 earnings call. We appreciate you all joining us today. And to get us started, I would like our CFO, James Rinn, to provide a financial overview on our performance in the second quarter. So James, take us away.
James Rinn: Thank you, Michael, and good afternoon, everyone. I'm honored to address you for the first time as CFO of PublicSquare. While new to this role at PublicSquare, I've had the privilege of supporting the company from the Board level for the past 2 years, and I'm excited to now lead our finance organization and partner with our executive team during the next chapter of growth and operational execution. Let's walk through the key financial highlights for the -- from the second quarter and for the first half of 2025. In regards to revenue growth and segment performance, we reported net revenue of $7.1 million for the quarter ended June 30, 2025. That's 18% year-over- year increase compared to $6 million for Q2 of 2024. The breakdown by business segment in Q2 illustrates the strength of our current segments. Financial Technology, which includes PSQ Payments and Credova, earned $3.4 million in revenue and a 15.6% increase from the prior year period. Revenue would have been $3.8 million and a 28% increase year-over-year if we had not incurred a onetime vendor true up of $0.4 million during the second quarter of 2025. Our recently launched PSQ Payments revenue for the quarter ended June 30th was $1 million, which is an increase of over 80% for Q1 -- from Q1 2025. As expected, our credit business revenue declined year-over-year. However, the company has strengthened its credit portfolio performance through greater use of AI-driven underwriting and machine learning, which resulted in decreased first payment default rates over the last 9 months by 74.8% on a vintage monthly basis, outperforming peers in a challenging environment. Brands driven primarily by EveryLife earned $3.3 million in revenue, which equates to a 45.5% increase compared to the prior period. Marketplace earned [ $0.3 million ] during the quarter, which was soft as expected due to the halting of our marketing spend as we were in the lead up to the Made in America marketplace launch that took place in July 2025. Transitioning to operating expense control, we made substantial progress in expense optimization and improvements in how we allocate capital. First half financial results included total costs and operating expenses declining by 13% or $4.8 million year-over- year, while revenues increased 46% or $4.4 million year-over-year. The net loss for the first half of 2025 improved by 46% or $11 million, decreasing from $23.8 million to $12.8 million. General and administrative expenses decreased by 22% for the first half of 2025 compared to the prior year. Sales and marketing expenses declined by 46% during the first 6 months of the year compared to the prior year. R&D expenses increased by $0.6 million and investment in internally developed software was $1.6 million for the first half of the year, reflecting our continued investment and enhancements in our fintech platform. Moving to margin and profitability. Our gross margin in Q2 was 53% compared to 67% in Q2 of last year. The decline was primarily related to revenue mix changes. Additionally, fintech revenues were more heavily weighted from credit and towards our PSQ payments in Q2. Our GAAP operating loss for the quarter was $8.1 million, a significant improvement from the $14 million in the same quarter of 2024. Net loss for the quarter was $8.4 million or a loss of $0.18 per share, a 50% per share improvement compared to a loss of $0.36 per share reported in Q2 of 2024. Moving on to cash flow and liquidity. As of June 30, 2025, we held $20.6 million in cash and cash equivalents with an additional $0.3 million in restricted cash. Net cash from operating activities decreased by $5.7 million during the first half of 2025 as compared to the same period of the prior year. We had $4 million outstanding on our $10 million revolving line of credit that we utilized to finance our Credova credit products. We also made a strategic decision to retain certain consumer finance receivables on our balance sheet, representing about $1 million in cash usage for the quarter. This ultimately allows us to increase our long-term return. We also invested $455,000 toward money transmitter license applications for the Fintech segment during the quarter. On May 23, 2025, PublicSquare filed an at-the-market offering or ATM, during Q2. During Q2, we sold 164,971 shares via the ATM. These proceeds covered our cost to establish the ATM. We believe it is good corporate practice for a company of our size to have this ATM in place, and we use it from time -- we may use it from time to time for the reasons noted in the prospectus and to help offset the cost of being a public company. In terms of share count, as of June 30, 2025, we had 42,676,029 Class A common shares outstanding and 3,213,678 Class C common shares outstanding. In late 2024, the company enacted a strategic reorganization to improve efficiency and reduce cost. This reorganization of the business was expected to save approximately $11 million on an annualized basis and was also expected to lower the company's cash needs meaningfully. We are happy to report that the company has experienced better-than-expected operating expense reduction results from its reorganization efforts announced in the fourth quarter of 2024, realizing approximately $9 million of its expected $11 million in annualized savings in the first half of 2025 alone. So to summarize, we are growing revenue at a strong pace, maintaining healthy margins, and significantly narrowing our operating losses, in part, due to reducing operating costs year-over-year. We believe we are well positioned to deliver long-term shareholder value as we execute on our strategic repositioning and continue our progress toward profitability at scale. Now let me hand it back to Michael for more about the exciting path forward for PublicSquare.
Michael Seifert: Awesome. Thank you, James. Before we go any further, I want to pause and underscore the significance of what James just shared. In November of last year, we implemented these meaningful operational changes with a clear objective to maximize the efficiency of our company and streamline our operations so that every dollar we spend delivers measurable impact. 2024 was a year for investment. And as we entered 2025, we knew it was time to monetize those investments by driving revenue while tightening OpEx. In November, we communicated to our shareholders, all of you, that these changes alone were projected to save the company a net of $11 million annually. So today, to reiterate James' comments, we are proud and grateful to report that in just the first half of this year alone, we've already realized $9 million of the $11 million in expected net savings, well ahead of the expected schedule. And we achieved this while growing revenue year-over-year and scaling the business in meaningful ways. Expenses have decreased, while revenue has increased, and both our company and our mission are stronger because of it. James covered our Q2 performance. And while we are certainly pleased with the growth we continue to see at the business, the quarter was also defined by something even more significant, the strategic choices we made to sharpen our focus and align the business for maximum impact over the near, mid and long-term. From day 1 -- we're going back a bit. From day 1, PublicSquare has been guided by a mission that is simple in words, but profound in purpose. We are here to build commerce for a better America. That means using the power of technology to serve a community of patriotic Americans with financial products that protect life, family, and economic liberty. We've never deviated from that mission, and our conviction in it grows stronger day by day. And because our mission drives every decision we make, we regularly evaluate whether our structure and strategy are positioned to achieve it in the most effective way possible. Recently, those evaluations made it clear that we could take bold steps in this season to increase our effectiveness and focus. Until now, our approach from a strategic standpoint was to build this financial ecosystem through 3 divisions: Marketplace, Fintech and Brands, working in synchrony to deliver value for customers and merchants alike. And frankly, that model served us well. But as we've scaled, it has also become clear that while this structure could make us a good company, achieving true greatness, becoming a truly great company, meaning we become an indispensable leader for our audience, requires a tighter, more concentrated focus. So we're announcing here today that we are monetizing EveryLife and the Marketplace via the sale of EveryLife and the sale or strategic repurposing of the Marketplace, while the go-forward public company, PublicSquare, will focus entirely on growing as a financial technology company. While I am bullish and optimistic about the future of both EveryLife and our Marketplace, we believe that both of these entities belong in and deserve environments where they can fully thrive, while PublicSquare dedicates all of our efforts, time, attention and resources to growing our fintech stack to meet the demand we've received. The heartbeat of this economic ecosystem we've created is the transaction experience. This is the place where a customer or a merchant's economic liberties are most vulnerable. This is where we've witnessed egregious debanking and cancel culture from some of the largest financial institutions in America in recent years. And this is where we see the greatest potential for the accomplishment of our mission as we move forward. We are passionate about financial technology and its power to provide freedom and trust-based transactions to our customers, and we have all the right ingredients for success. We have the right team, the right technology, the right brand and the unwavering commitment to the industries we serve, to thrive as a true leader at the dawn of a new era of financial technology, one that will be marked by innovation, security and an advancement of financial freedom. As CEO and Chairman, alongside our Board and management team, I could not be more confident in the strategic repositioning of our business. We believe it will unlock extraordinary growth potential, sharpen our operational focus and ultimately deliver transformative value for you, our shareholders. While this has obviously been a heavy decision, I believe that in 5 years' time, we will look back on this decision as a truly pivotal moment in realizing the future we've always envisioned for PublicSquare. So I'd like to dive a bit deeper into the practical moves we are making here. This business evolution centers around 3 core initiatives. Number one, we are doubling down on fintech. Overwhelming demand over the last year from values-aligned merchants and consumers has validated our fintech model. The speed at which we've been able to accumulate and process substantial GMV, especially from enterprise merchants on a rapidly expedited timeline compared to our competitors, by the way, communicates a clear trust in our payment stack. And the desire for our key differentiators, most notably our bill checkout product offering of payments and credit services paired with our intentional commitment to serve industries previously ignored by mainstream financial institutions, has proven tremendously accretive to both our top and bottom line. When we combine our debit and credit card processing capabilities, consumer financing activities and ACH processing, we have the opportunity to facilitate the movement of all money in and out for our merchants. And this positioning has allowed us to ensure that in every step of the transaction, we are securing economic liberty for the community we're grateful to serve. In the near future, you'll see us add additional features to our payment stack, including crypto payments, donations technology, private label credit card programs, tools to drive increased loyalty for our merchants, and more. Number two, we are monetizing noncore segments. So as I mentioned, we are monetizing our EveryLife brand via a strategic sale and exploring a sale or strategic repurposing for the Marketplace. Both have built substantial brand equity with their respective consumers, and we have received positive early indicators regarding the demand for both of these entities. The divestiture of these entities should provide nondilutive and tax-efficient capital to the go-forward company, while also providing an environment for EveryLife and Marketplace where they can both thrive with the whole focus of their new ownership dedicated to their long-term success. We expect to complete these efforts by the end of the fourth quarter of 2025. And while this is certainly a bittersweet move for us as a company, we believe this repositioning will unlock tremendous value for both EveryLife and Marketplace as well as the go-forward PublicSquare Fintech entity. Number three, as we mentioned in our press release from late May, a significant aspect of our go-forward vision includes building and deploying cryptocurrency solutions that empower consumers and merchants, while opening up new high-margin revenue streams for our company. We have also explored and are in the process of deploying a diversified digital assets treasury strategy to complement our efforts as we productize our payment stack in favor of alternative financial systems that mark a departure from the traditional payment [ rails ]. We recently welcomed Caitlin Long, a renowned cryptocurrency and finance expert to our Board of Directors, to help guide and spearhead this effort. With the recent regulatory and legislative wins regarding cryptocurrency, the merchant demand we've witnessed for diversified payment methods, and our passion for digital assets because of their positive impact on the economic liberty movement, we are excited to press forward in this space with intentionality in the weeks, months and years ahead. Finally, to dive far deeper into the strategy of our go-forward fintech company, we will be hosting an analyst and investor meeting in September. We will share details regarding the date, the time and participation opportunities of this event in the coming weeks. We're at an exciting inflection point as a company, but we're also at an inflection point as a nation. The economy and the world, at large, are transforming quickly due to the technological revolution happening before our eyes, with the rise of AI, alternative financial systems and we, the people's pursuit of financial freedom more than ever before. With the bold moves we are making as a company here today, we believe we're positioned to lead with excellence and principle in this new era of technology. We believe our performance over the coming months, quarters and years will bear a testament to that reality, and we are immeasurably grateful that you're on the journey with us. We are just getting started. So now, let's head to Q&A.
Operator: [Operator Instructions] Your first question comes from the line of Darren Aftahi with ROTH.
Darren Paul Aftahi: A couple, if I may. First, I know last quarter you talked about onboarding a bunch of payment customers and then there'd be sort of significant ramp-up in the second half of the year. Just wondering if that kind of thesis is still holding true?
Michael Seifert: Absolutely. Yes. Thank you, Darren. So the thesis is certainly still holding true. I would say that onboarding has taken a bit longer than we had anticipated, but actually for kind of an exciting reason, many of our merchants are finding the desire for our bundled checkout offering, meaning combining our credit services as well as our payments, more than we had even anticipated. So because of that, many of these merchants are actually wanting to migrate their entire checkout stack, not just payments, at the same time, which is obviously just a slightly larger technical lift. But we certainly reiterate the thesis that the second half of this year is when we should begin to see very material revenue even over and above the 80% increase we saw from Q1 to Q2.
Darren Paul Aftahi: Great. And then 2 more, if I may. Just on the EveryLife potential sale, just kind of curious when that official process sort of started and what kind of inbound interest you've kind of seen thus far?
Michael Seifert: Yes, great question. So this process started very recently. This is really the week where we're officially starting the process, beginning ultimately with this announcement here to our shareholders. As we've had preliminary conversations to gauge interest, we've been very positively received. And ultimately, we believe that the fundamentals of EveryLife stand incredibly strong. It is a business that I love dearly and believe in passionately. It has a very strong economic outlook based upon, not only its track record from the last 2 years, but also the increased demand we've even witnessed over the past few months for greater bulk order partners and opportunities with nonprofits at scale and being able to unlock future distribution models. So I'd say that value, both the track record and its go-forward forecast, has been very positively received, and we believe that we as a company are going to receive a very accretive deal for the sale of this brand. And ultimately, we're very excited about it landing in the hands of an ownership either as a single individual or a firm or a network of investors that share 2 things. Number one, a positive outlook on the financial opportunity of EveryLife as a brand as well as the values that have guided EveryLife from the beginning. We've always said at EveryLife that customers will come to EveryLife for the values, and they will stay for the quality of the products. These are clean, premium quality products that serve the life, health and well-being of the most precious people we have in our home, which is the next generation. And ultimately, that value has been very, very positively received by potential investors or suitors that really believe that they can transform this brand into a positive force as it continues to move and scale forward. So, as I said in the statements, we anticipate wrapping up this process by the end of Q4 of this year, which really sets us up for a clean 2026 as a go-forward fintech company.
Operator: Your next question comes from the line of Francesco Marmo with Maxim Group.
Francesco Marmo: Congrats on the quarter. Just a quick one. I was wondering whether you guys could expand on your AI-driven initiatives in credit? And now that the company is going to pivot even further into its fintech businesses, how do you think AI will impact your operation and cost structure going forward?
Michael Seifert: Thank you, Francesco. I'll start with one point, but then I'd actually love for Dusty Wunderlich, our Chief Strategy Officer, to extrapolate, especially related to AI's utilization within our credit stack. At the whole business in the go-forward fintech environment, AI has played an instrumental role in really helping make us, as a team, operate with greater efficiency, efficacy and speed. We've really leveraged AI to help us in all aspects of the business, especially engineering and product, aside from the financial operations of the business that Dusty will touch on. So, we're excited to continue implementing these toolings that are very innovative in nature and really allow for us as a small company to produce outsized output. And we've had very positive benefits thus far, and we would assume that those will only continue as we move forward. Dusty, do you want to address Francesco's question related to credit in our AI underwriting?
Dustin Wunderlich: Yes. Yes, happy to. Francesco, thanks for the question. Yes, on the Credova side, we were fairly early to start adopting artificial intelligence into our credit underwriting, and working with third-parties of really solving AI with credit underwriting. The big problem the industry has and a lot of technologists have with credit specifically is you can't use BlackRock solutions. From a regulatory perspective, we have to be able to tell consumers why that we're either approving or denying them credit. So we were able, very early on, to get with and partner with groups that were solving this problem. And effectively, what it's done, and this was as early as 2021, that we started training models. So we started adopting this and really spent the first couple of years just training models with the over 300 data points we were already getting from either public records or the credit bureaus. And so over that time, Francesco, we've been able to curate a very specific credit underwriting score that is specific to our consumer data set. And about last year we really started to implement this across our entire portfolio and underwriting system, and we have seen drastic changes in our quality of our delinquency and charge-offs in that portfolio. It's part of the reason we're now balance sheeting more of our papers to completely change some of the unit economics. And we're very bullish on what we've seen with this and continuing to press forward with how we implement this, not only in credit, but throughout organization as we look to the future. But we've been very pleased with what we've seen there and very glad that we made an early investment and really took time and patience to train these models correctly before we implement it. And I think we're seeing the fruits of that labor now.
Operator: I would now like to turn the call back over to Will Kent to answer some more questions submitted ahead of time. Please go ahead.
William Kent: Thank you, Eric. We'll now address some questions that we received from the Say Technologies platform before closing up the call. First question, in Q1 you stated that no capital raise was needed for 1 to 2 years. Yet weeks later you filed a $50 million ATM. Was it closed? Any funds raised, used?
Michael Seifert: Thank you for the question. It's a great question. I'd like to start by making something even further clear regarding the purpose of the ATM and its filing for our company, not needing to raise for us is different than ensuring we have the opportunity to do so cleanly and efficiently should an opportunity arise that would be ultimately accretive for the business and beneficial to our shareholders. So absolutely, we reiterate the fact that we did not need to file the ATM. But for us, it was more a matter of good corporate housekeeping to ensure that, as James mentioned earlier in his comments, that a company of our size has optionality. And ultimately, that's what we look to do to ensure that we are constantly thinking about best ways in which we can serve the go-forward vision of this company and ultimately, it's benefit that we want to produce for shareholders. So that's number one. And I really appreciate the question there. Second thing I'll highlight is that, as James mentioned, we sold 164,971 shares via the ATM in Q2, which was really used to cover the cost of establishing the ATM in the first place. And ultimately, we will continue to keep the street updated as any relevant next steps are taken via the ATM. But ultimately, at the end of the day, I want to reiterate that point that for us, ATM is a good example of corporate housekeeping that ensures we have optionality to best benefit our company go forward and the shareholders.
William Kent: Next question. As a shareholder, I'm curious what the Board has been doing to help move PublicSquare forward? Any example over the past 2 quarters how Michael, Blake, Nick, Don Jr., Dusty or others have helped with growth strategy or visibility?
Michael Seifert: Yes, I love this question. We are very grateful as a management team to have a Board of Directors that is actively involved in the operations and the strategy and the marketing of this company. I love the names that you mentioned. Blake is obviously a tech wiz. He has a long career in the intersection of technology, politics and economics, and his help from a strategic point of view in guiding this company forward has truly been invaluable, especially as, by the way, we are migrating toward more and more of this fintech focus. I look at Nick, and I'm blessed by Nick's wisdom and strategic guidance related to the operations of the company, how to structure a company in a streamlined fashion for success. Paired with the fact that Nick has a tremendous level of influence and value in the [ faith-based ] community, which is obviously a community that we hold very dear and we're honored to serve. I look at Don Jr. and reflect on the marketing expertise that he carries, the deal flow that he's initiated for this company, the real marketing brilliance, specifically for the gun industry as well. A lot of people obviously know Don Jr. as a businessman or as really a force of nature in the next generation and their views on politics. We're grateful for all of that and more because we get to see Don's passion for the firearms industry and the outdoor space come to life and how we grow this business forward, and protect economic liberty for these industries we are dedicated towards serving. You just heard from Dusty on the call. Dusty serves as not only a Board member, but Chief Strategy Officer as well. He's also one of the best economists I've ever met in my entire life. If you ever want a deep dive on how to structure this company for economic success, given the macroeconomic environment we find ourselves in, Dusty is my first call. And so I'm just really grateful for the Board members we just mentioned as well as the rest of our Board members as well, Willie and Davis and Caitlin Long, who just joined this past week and James Rinn, our CFO. We really have an incredible Board. We feel like we're outkicking our coverage here, and we believe that they'll continue to be instrumental as we move forward.
William Kent: Our next question, what specific strategy is PublicSquare pursuing to sustainably increase profitability without compromising its core values?
Michael Seifert: I love this question, and I find it really fascinating because it's a good point to call out that in many cases sometimes people feel like the pursuit of profitability is at odds with their mission or their core values. For us, we actually are very lucky and blessed that for our company, pursuing profitability means holding fast to our core values. We actually unlock greater profitable potential by holding fast to our core values. And I'll give you an example. One of the reasons we've been able to scale so fast in fintech, for example, is our commitment to our core value for economic liberty and protecting a cancel-proof transaction. That core promise that wakes us up every morning excited to produce value in this business is also the thing that leads to greater merchant onboarding. Our commitment to support families across this great country that have felt underserved by the existing financial institutional incumbents has been a major driver in onboarding and getting our message out in a grassroots effort to millions of customers and merchants that want to feel like there are financial services out there that are built for them. So, to wrap that up, I would say across this entire business, a key strategy to driving sustainable increases of profitability is by holding fast to our core values, making sure that those values are messaged and marketed frequently. And that ultimately, we're living them out, that we're holding fast to our convictions, upholding our promises to our merchants and our customers and being a force for change through the power of this economic ecosystem we've created.
William Kent: And our last question. Stablecoins, DeFi and crypto were briefly discussed on the last call, what sounded like concrete plans to both adopt crypto as payments as well as buying Bitcoin to strengthen the balance sheet when the time is right. After some recent SEC clarity, where does PublicSquare stand on this as of today?
Michael Seifert: Well, I will tell you, I certainly love the recent SEC clarity as well as the legislative wins we've had recently with the GENIUS Act, for example. We love also the institutional interest like never before in the world of digital assets. And as a believer in this space for the last decade, as many of our management team and Board of Directors are as well, I can tell you that it feels pretty surreal to watch digital assets, cryptocurrency become a major part of the -- not only economic conversation, but also political conversation. We feel like, as a business, we have an opportunity to really be a leader in this space by productizing much of the economic benefit that cryptocurrency brings to the table. And what I mean by that is that over the last 15 years, cryptocurrency has largely been an engineering-led effort. But over the course of the coming years, we predict that we will see cryptocurrency actually have a lot more to do with the actual products themselves and how we can utilize cryptocurrencies for a tangible benefit, both for our consumers and our merchants, seeing them as really a viable tool, not purely an asset. And so for us, we've put a lot of strategic time and effort into scoping what our future in this space looks like. What I can tell you is that we're excited to share more on our September Analyst and Investor Day, about all the nuances and nitty- gritty of our strategy here related to cryptocurrency moving forward. But finally, I'll say this. For us, it's been intentional. We have not wanted to just [ wallow ] into Bitcoin because other companies are doing so. We actually believe that the best way to conduct a successful treasury strategy, for example, is by not only leveraging crypto for your treasury strategy, but also making sure that there is a productization of that crypto strategy reflected in our fintech stack. And so, we want those 2 worlds to come together in a perfect marriage. And ultimately, that's what we are pressing forward on with our foot firmly pressed against the gas, and we're excited to reveal more about what that looks like in the coming months. I will add one more piece, which is obviously for us, leadership at the table is incredibly important that has a heavy level of both wisdom and influence in this space. And obviously, as I mentioned earlier in this call, Caitlin Long joining our Board, there's no one better. And so we feel like, again, we have the right team, the right talent, the right time, and we've put the right thought into this, so that we feel we'll be able to execute here with a lot of efficacy and excellence here. Well, I think that's it. Really, really prefer or appreciate everybody's questions here today. Thank you, all, for joining us on this call. We are looking forward to communicating with you all in a soon forthcoming market communication regarding, again, the date, the time and participation opportunities for our Investor and Analyst Day coming up in September, and we cannot thank you enough for being on this journey with us. So to all of you who joined us today and those who asked questions, we appreciate it, and we hope you have a fantastic remainder of your evening.
Operator: Ladies and gentlemen, this concludes today's call. Thank you all for joining, and you may now disconnect.